Operator: Good morning, and welcome to the Monmouth Real Estate Investment Corporation’s Fourth Quarter and Fiscal Year-End 2014 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. It is now my pleasure to introduce your host, Ms. Susan Jordan, Director of Investor Relations. Thank you, Ms. Jordan. You may begin.
Susan Jordan: Thank you very much, operator. In addition to the 10-K that we filed with the SEC yesterday, we have filed an unaudited annual and fourth quarter supplemental information presentation. This supplemental information presentation along with our 10-K are available on the Company’s website at mreic.com. I would like to remind everyone that certain statements made during this conference call, which are not historical facts may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties. Although the Company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the Company can provide no assurance that its expectations will be achieved. The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the Company’s annual 2014 earnings release and filings with the Securities and Exchange Commission. The Company disclaims any obligation to update its forward-looking statements. Having said that, I’d like to introduce management with us today; Eugene Landy, Chairman; Kevin Miller, Chief Financial Officer; and Michael Landy, President and Chief Executive Officer. It is now my pleasure to turn the call over to Monmouth’s President and Chief Executive Officer, Michael Landy.
Michael P. Landy: Thanks Susan. Good morning everyone and thank you for joining us. We are pleased to report our results for the fiscal year ended September 30, 2014 which saw continued growth in our portfolio and in the value of our company. In fiscal 2014 we acquired approximately 1.5 million square feet of high quality industrial space at an aggregate cost of $97.6 million bringing our portfolio to a total of 82 properties containing 11.2 million square feet. This represents a 17% increase in our gross leasable area year-over-year. Moreover going back four years we have successfully grown our portfolio GLA by approximately 60%. This is an important factor as pricing has increased dramatically over this period. Please note that all of this growth was achieved without sacrificing our high quality standards. In keeping with our long-term business plan this growth was achieved by purchasing well located new built-to-suit industrial properties leased to strong credit tenants. The weighted average age of our portfolio today is now approximately 10.5 years which provides us with a very modern, high quality industrial property portfolio. This is in our view an extremely important factor given the continued migration of retail spending from traditional brick and mortar stores to e-commerce sales. Omni-channel distribution requires state of the art industrial buildings with regards to greater cube space, increased parking capacity, and technologically driven infrastructure. Our property portfolio is very well equipped to handle this important and ongoing change. The occupancy rate on our portfolio remains strong at 95.9% at fiscal year-end compared to 96% a year ago. During the quarter the company acquired a brand new 328,000 square foot built-to-suit distribution center for $23.7 million. This Class A facility is leased for 10 years to FedEx SmartPost. The 37 acre SmartPost property is located at the Indianapolis International Airport which is FedEx’s second largest hub in the U.S. With regards to leasing approximately 4% of the company’s gross feasible area consisting of six leases totaling 438,000 square feet was set to expire during fiscal 2014. As previously announced, the company renewed four of the six leases with its existing tenants. These lease renewals resulted in a weighted average term of 6.4 years and a weighted average lease rate of $5.42 per square foot as compared to $6.02 per square foot formerly, representing a weighted average reduction in the lease rate of 10%. Of the two non-renewals, we leased up our 60,400 square foot building located in Carlstadt, New Jersey for 10.5 years at an average rate of $8.34 per square foot as compared to $7.61 per square foot that was paid by the prior tenant representing an increase of 10%. We continue to work on releasing the remaining one. During fiscal 2014, the company completed work on seven property expansions which resulted in extending the tenants lease expirations by an additional 10 years from the date of completion for each property that was expanded and increasing the tenants rent. Prior to the lease amendments being executed, these seven leases had a weighted average term of 4.7 years remaining at the time of completion of the expansion work. By obtaining an additional 10 years of lease term from the date of completion of the expansion work, an additional 5.6 years of weighted average term was added to these seven leases. Commencing during fiscal 2014 these seven lease amendments have resulted in an annual increase in base rent totaling approximately $2.3 million at an average lease rate of $8.41 per square foot as compared to $7.97 per square foot formerly, representing a 5.5% increase in the lease rate on both the GAAP and a cash basis. In fiscal 2015 approximately 7% of the company’s gross leasable area consisting of six leases totaling 780,000 square feet is set to expire. To-date the company has renewed three of these six leases representing 309,100 square feet or 40% of the gross leasable area set to expire in 2015. These renewed leases have an average term of 3.8 years and an average GAAP lease rate of $5.62 per square foot and a cash lease rate of $5.49 per square foot. This represents an increase of 5.6% on a GAAP basis and 1.5% on a cash basis. The three remaining leases set to expire in fiscal 2015 are currently under discussion. Subsequent to year-end, the company has acquired four brand built-to-suit properties containing a total 559,000 square feet at an aggregate cost of $40.3 million. This brings our current portfolio to a total of 86 properties geographically diversified across 28 states. These four recently purchased single tenant properties are net leased to BE Aerospace, Bunzl Distribution, and FedEx Ground. The lease terms range from 7 to 15 years with a weighted average lease term of 11.1 years. These four recently purchased single tenant properties bring our total portfolio to 11.8 million square feet and our occupancy rate to 96.1% currently representing a 20 basis point improvement from the September 30, 2014 year-end. Because these new acquisitions were negotiated well before these developments were completed, the returns that we have achieved are much more favorable than what is currently available in the industrial market today. The cap rates averaged in the low 7% range as compared to the high 5% range for comparable properties available in the market today. In view of the attractive positive investment spreads associated with these transactions, we expect that they will be meaningfully additive to our earnings going forward. Because these acquisitions occurred subsequent to year-end, they had no impact on the financial results for fiscal 2014 that we are reporting today. Given our robust acquisition pipeline we anticipate continued growth throughout fiscal 2015 and beyond. We are very excited about our best-in-class acquisition pipeline which now comprises nine new built-to-suit properties containing 3.2 million total square feet representing $266 million in acquisitions scheduled to close over the next seven quarters. Once again in keeping with our business model all of these future acquisitions consist of well located, brand new built-to-suit projects currently under construction. These projects contain long-term net leases primarily to investment grade tenants. These properties are situated near major airports, major transportation hubs, and manufacturing plants that are integral to the tenants operations. Approximately 53% of our acquisition pipeline consists of deals with FedEx while the remaining 47% contains a variety of high quality tenants including Jim Beam and ULTA Cosmetics and Fragrances. The cap rates on these deals average in the high 6% range and have a weighted average lease maturity of 12.2 years. Subject to satisfactory due diligence, we anticipate closing these transactions upon completion and occupancy over the next several months. In addition the company currently has four property expansions in progress consisting of three building expansions and one parking lot expansion. These expansions are expected to cost approximately $14.4 million and are expected to be completed during the remainder of fiscal 2015. Upon completion of the remaining four expansions, annual rent will be increased by approximately $1.5 million and the lease terms for the three building expansions will be extended for 10 years from the date of completion. With regards to the overall U.S. industrial market, 2014 is on track to be the third strongest year ever in terms of net absorption with over 150 million square feet in positive net absorption. While new construction has been ramping up to 121 million square feet currently under construction, it is still less than the absorption levels. This has caused vacancy levels to continue to fall to a rate of 8% currently. It is anticipated that industrial rent growth will accelerate in 2015. The ISM manufacturing index has been showing strong growth for the past two years now. This has been the result of declining energy cost. The resurgence in domestic manufacturing has been and will continue to be a key driver for industrial demand. The U.S. manufactures over 20% of the world's goods with over $1.5 trillion in goods exported from the U.S. this year representing the highest level ever. Recent reports show that shipping container growth in the East Coast ports continues to outperform the West Coast ports rising 12% since 2007 in the East versus falling 4% in the West. Given the geographic footprints of Monmouth's portfolio, this represents a very favorable trend. In addition, the ongoing convergence of the retail and industrial property sectors brought about by e-commerce continues to dominate the news. The recent IPO of Alibaba provides a very clear illustration of the tremendous breadth and depth online retailing can provide. This online retailer is more than twice the size of Amazon. Alibaba generates over $250 billion in annual sales and they recently posted $9.3 billion in online sales in a single day. We already know that U.S. e-commerce sales this holiday season are up substantially with the period from Thanksgiving through Cyber Monday delivering $6.6 billion in internet sales representing a 24% improvement over the prior year. As evidenced by these growing sales figures, e-commerce represents a massive shift in the market share of our economies driving force, consumer spending, and it will continue to drive demand for industrial space for years to come. For these reasons we view the long-term prospects for the industrial property type and especially Monmouth's portfolio very favorably. And now Kevin will provide you with greater detail on our results for the quarter and for fiscal 2014. Kevin?
Kevin S. Miller: Thank you, Michael. I would like to start off by discussing some of our key financial indicators for the fourth quarter and then move into some of our key financial indicators for the full fiscal year. Core funds from operations for the fourth quarter of fiscal 2014 were $7.5 million or $0.13 per diluted share. This compares the core FFO for the same period one year ago of $5.4 million or $0.12 per diluted share. This represents an 8% increase in core FFO per diluted share. Adjusted funds from operations or AFFO, which excludes securities gain or losses and excludes lease termination income, were $6.7 million or $0.12 per diluted share for the recent quarter, as compared to $5.3 million or $0.12 per diluted share a year ago. Our per share results for the quarter reflect a partial impact of our recent equity offering completed in May of this year. For which the proceeds from this offering are still being deployed. Rental and reimbursement revenues for the quarter were $16.9 million, compared to $14.4 million or an increase of 17% from the prior year. Net operating income increased $2.3 million to $13.9 million for the quarter, reflecting a 20% increase from the comparable period a year ago. This increase was due to the additional income related to five properties purchased during fiscal 2013 and six properties purchased during fiscal 2014. As Michael mentioned earlier, we acquired one property for a total of $23.7 million during the fourth quarter and we financed this transaction with $14 million in mortgage debt at a fixed interest rate of 4%. Subsequent to year end we acquired four additional properties for $40.3 million, finance with $24.9 million in mortgage debt with the weighted average interest rate of 4.67%. We expect these recently closed acquisitions as well as the other deals scheduled to close later this year to positively impact our results going forward. Particularly once we benefit from their full run rate effect. In addition to the pipeline of deals that Michael discussed, we remained well positioned to continue to pursue additional acquisition opportunities. I would now like to discuss the results for the full fiscal year. Core FFO excluding securities gains for the full fiscal year 2014 was $26.8 million versus $20.2 million in 2013. On a per share basis core FFO excluding securities gains was $0.54 per diluted share in fiscal 2014 compared to $0.48 per diluted share in 2013, representing a 13% increase. AFFO which excludes securities gains or losses and excludes lease termination income was $0.52 per diluted share for fiscal 2014, as compared to $0.46 per diluted share a year ago. Representing, a year-over-year increase of 13%. As a result of our recent acquisition activity we anticipate continuing to grow our AFFO per share going forward. Rental and reimbursement revenues for the year was $64.7 million compared to $54.6 million or an increase of 18% from the prior year. Net operating income increased $8 million to $53.4 million for the year reflecting an 18% increase from the comparable period a year ago. With respect to our properties, end of year occupancy remained relatively unchanged and was 95.9% at September 30, 2014, as compared to 96% at fiscal year-end 2013. As previously noted, as a result of purchasing four new acquisitions subsequent to year-end, our occupancy rate is now at 96.1%. Our weighted average lease maturity continues to increase and as of year-end was 6.7 years as compared to 6.1 years at the prior year-end. Our weighted average rent per square foot was relatively unchanged at $5.51 as of the recent fiscal year-end, as compared to $5.53 at the end of fiscal 2013. As of the end of the fiscal year, our capital structure consisted of approximately $313 million in debt of which $288 million was property level fixed rate mortgage debt and $25 million were loans payable. 93% of our total debt is fixed rate with the weighted average interest rate of 5.2% as compared to 5.6% in the prior year period. We also had a total of $111 million in perpetual preferred equity at year-end. Combined with an equity market capitalization of approximately $577 million, our total market capitalization was approximately $1 billion at year-end representing a 27% increase from the prior year. From a credit standpoint, we continue to be conservatively capitalized with our net debt to total market capitalization at 29% and our net debt plus preferred equity to total market capitalization at 40% at year-end. For the fiscal year-end September 30, 2014, our fixed charge coverage was 2.1 times. Our net debt to EBITDA was 5.5 times and our net debt plus preferred to EBITDA was 7.7 times. From a liquidity standpoint we ended the year with $20.5 million in cash and cash equivalents. We also had $40 million available from our recently expanded credit facility as well as an additional $20 million potentially available from the according feature. In addition we have $59.3 million in marketable REIT securities representing 7% of our un-depreciated assets. Net realized gains for fiscal 2014 were $2.2 million as compared to $7.1 million in fiscal 2013. During the year we fully repaid a total of five loans with unamortized balances totaling $4.2 million which unencumbered approximately $35 million of properties to enhance our financial flexibility and strengthen our already strong credit profile. And now let me turn it back to Michael before we open up the call for questions.
Michael P. Landy: Thank you Kevin, as you can see Monmouth continues to make substantial progress. To summarize, we have now grown our portfolio to 11.8 million square feet while remaining true to our high standards. The quality of our asset base is evidenced by our sector leading 96.1% occupancy rate. We have increased our average lease maturity by 15% to 6.9 years, reduced the average age of our portfolio to 10.5 years, reduced our average interest rate to 5.2%, grown our total market capitalization by 27% to over $1 billion, and continued to maintain a very strong balance sheet with a net debt to total market capitalization of just under 30%. Most importantly, our recent acquisition activity has contributed to a 13% improvement in our AFFO per share earnings this past fiscal year and with our $266 million acquisition pipeline, we anticipate additional growth going forward. We’d now be happy to take your questions.
Operator: [Operator Instructions]. And our first question will come from Paul Adornato of BMO Capital Markets.
Paul Adornato: Hi, good morning. Kevin you mentioned that we still haven’t reached peak earnings because you haven’t fully invested the proceeds or the equity offering. I was wondering how we should think about leverage in addition to that like as the other piece of that puzzle, what should we use in our models for leverage on a go forward basis.
Kevin S. Miller: The four acquisitions that we’ve closed on in the first quarter, we put leverage debt, we put fixed rate debt on three of those four and we’ve averaged LTVs anywhere between 65% to 70%. And in this low interest rate environment we want to take advantage of that and continue that on all the new acquisitions. So I would use that as a model going forward. And the way we were going to pay down our debt and keep our leverage low is generally we have fully amortizing mortgages or if not they have small balloon payments and as they become due, we pay them off on the older properties and free up those properties so that they are free and clear.
Michael P. Landy: Paul just to piggy back on Kevin's remarks. We are under 30% net debt to total market caps, so we are under leveraged and historically we run the company 40% to 45% leverage. So we’ve ample room to add more debt and as Kevin mentioned, the deals we are doing are 65% to 70% levered but the blend will be in around 40%. We have ample headroom to increase leverage and take advantage of what we are generating, about 16% levered returns on the $63 million in acquisition, $64 million in acquisitions that aren’t even in the numbers we are reporting today. So it’s absolutely a denominator effect. We added 8 million 50,000 shares back in May and I’ve only closed one acquisition that’s in these numbers and that was late in the quarter. So really there is $64 million in acquisitions that will increase the numerator and more coming in the near future. So it’s a lagging effect and we’re pretty confident that AFFO growth will continue to be in double digits.
Paul Adornato: Okay, great, thanks for that. And Mike I think you mentioned that last year FedEx got caught a little bit and so far as we are not able to handle all of the capacities, I was wondering if you can give us an update?
Michael P. Landy: Sorry to jump in Paul but that was UPS. UPS was the ones. They are going to seven day a work weeks now, FedEx has been doing seven day peak season scheduling for five years now. So the news reported as though both companies because of the weather were impacted but it was really UPS and Amazon that had to pay the big refunds because they miss the Christmas guarantee. FedEx has added 50,000 employees this Holiday Season. They spent 2.5 billion ramping up the ground network over the last five years. They are anticipating 300 million packages between Black Friday and Christmas. Already you’re seeing 24% year-over-year growth. We don’t anticipate the weather issues that you saw last year. Retailers are reporting surging online sales which means in the future they’ll be investing more heavily in focusing on Omni-channel distribution which means the growth in our FedEx buildings is just going to continue. And it’s been a real strong component that’s why in my prepared remarks I focused so much on quality and being linked to the secular shift that is e-commerce because this is a major game changing event. And we’re right in the midst of peak season and FedEx numbers are off the charts. The only problem is we can’t grow fast enough and we view that as a good problem.
Paul Adornato: Okay, great. Thanks for that. And finally I was wondering if you could maybe just comment on Alibaba, you mentioned that -- what are they doing in the U.S. in terms of their operations?
Michael P. Landy: I don’t follow Alibaba that closely. So they are just ramping up with I think they got 11 main website and it remains to be seen what sort of growth, the point there is there is low barriers of entry as far as creating a portal from your Smartphone or your tablet into cyberspace to conduct commerce. And all these goods have to get shipped. The fact that they did over 9 billion in sales in a single day without a large U.S. exposure is remarkable and obviously they want to gain a foothold in the U.S. But they are just in the midst to doing that. It is early to say how that’s going to pan out.
Paul Adornato: Okay, great. Thanks guys.
Michael P. Landy: You’re welcome Paul.
Operator: And the next question will come from Jay Hanna [ph] of MLB & Company.
Unidentified Analyst: Hey, guys just kind of piggy backing off that last question, I was wondering if you guys had any knowledge about where leverage levels were for comparable warehouse deals over the past year?
Michael P. Landy: Well over the last year they’ve be doing a long-term lease to an investment grade tenant. You can get 75% even 80% LTV but there is a cost for that. Looking back even during the credit crunch when liquidity completely dried up, it didn’t dry up for our product. Long term leases to investment grade tenants was always financeable but the leverage you could apply to an asset at that time when it is low is 55% and now it’s back to 75%. We’re conservative so we are doing 65% to 70% leverage and its amortizing debt as Kevin mentioned which keeps our balance sheet in the 30% to 40% leverage range. Gene you want to jump in at all in any of this.
Eugene W. Landy: Well only that the margin are really excellent for the company. We commit to these deals a year, year and a half in advance and as you know, interest rates have been trending down. So as we close the deals, the rates we get and Kevin will have to give you the rates but they are 4%, sometimes sub 4%. When we budgeted deals it is as high as 5%. So historically we worked on 1.5% margin between the cost of funds and the lease rents and today we are doing substantially better than that.
Unidentified Analyst: Okay, thank you. And then regarding the acquisition pipeline, you guys mentioned that they should be completed over the next seven quarters, should we assume that’s a fairly even spread?
Michael P. Landy: Yes, we anticipate one large closing between now and year end. So we’ll be reporting that momentarily and then you see stuff happening in what is our second quarter of the fiscal year which is January through the end of March. So then yes, it is pretty much spread out ratably over the ensuing quarters.
Unidentified Analyst: Thank you.
Michael P. Landy: These are all new built-to-suits under construction and under contract. So it’s not a question of if, it’s merely a question of when?
Unidentified Analyst: Okay, great. Thank you.
Michael P. Landy: You’re welcome.
Operator: [Operator Instructions]. And our next question will come from Michael Boulegeris of Boulegeris Investments Inc.
Michael Boulegeris: Good morning and thank you for taking my questions. Following on Gene’s comments, is it fair to say that your investment spreads and aggregate for the nine buildings in the pipeline are in the 14% to 15% range.
Michael P. Landy: That’s correct.
Michael Boulegeris: Okay and Michael could you give us a sense as to the nine new buildings, would you say that maybe 50% of GOA is non-FedEx or could you give some clarity there?
Michael P. Landy: Sure, well the stuff we did last year was predominantly non-FedEx. It broke down 63% non-FedEx. Going forward with the pipeline of nine deals, $266 million, 3.2 million square feet, the breakdown there is 53% FedEx and 47% tenants other than FedEx. But still very strong investment grade. Tenants in some, there is a trend now to be in a logistics cluster and what that means is to be near a FedEx building. So we are doing great assets that need to be near existing FedEx assets. So, there is lot of synergistic benefits in the non-FedEx fulfillment centers that we are doing in proximity to our existing FedEx assets.
Michael Boulegeris: Great and Mike you comment just on your pipeline activity in the tenant of the pipeline that you describe as a firm pipeline.
Michael P. Landy: Well we are trying to source additional deals and the problem is its getting very competitive. You just saw the Singapore Sovereign Wealth Fund make an $8.1 billion acquisition in U.S. portfolio that Blackstone put together in five years generating over $2 billion of profit in doing so. So, there is no shortage of competition. Competition is fierce. Fortunately we have strong relationships with the Merchant builder community but it’s getting cap rates. On that large acquisition there is sub six with stabilization and leasing expectations. We are hoping a six cap and so portfolios are trading. There was another large portfolio, Sur [ph] is acquiring our Coals [ph] industrial assets for in high 5s. So while Gene mentioned the spreads are good and they were all about 322 basis points in fiscal 2014, and the stuff we are doing today is in excess of 250 basis points, they are contracting and we are not going to sacrifice our standards and we are not going to set any records this low as cap rate buyer in the market.
Michael Boulegeris: I understand and finally in the context of your strong FedEx relationship, do you or Gene have any comments just from a say global standpoint as you look to the remainder of the decade how this strong collaborative arrangements will continue.
Eugene W. Landy: Well as you know FedEx is now essential to world commerce and it’s a material factor for all the major corporations distributing to FedEx facilities and FedEx's computers and software. And so we have been very fortunate to have a good relationship with FedEx which we continue to grow with. And we think that will continue. We are sure that FedEx probably has a very aggressive plan for increased buildings and we know they are building because we are getting the contracts for buildings in 2015, 2016. And we expect additional buildings in 2017, 2018, and 2019 as FedEx continues to expand. The recent figures for the United States are showing a 4% growth rate and the relationship between growth in the gross national products and the amount of industrial space needed is completely direct. And so if you get 4% growth in gross national product, we can expect 4% leaded growth in industrial space. So we are very, very optimistic about the next three, four, five years for both the industrial space, Monmouth REIT's participation in it, and of course FedEx is the leader and we will continue do a substantial portion of our industrial space with FedEx.
Michael Boulegeris: Well, thank you for those comments, and it appears you have embedded growth going forward with new building acquisitions of FedEx, Eugene is that -- do you foresee that, the expansion to the FedEx to continue at the fairly robust clip as they have also?
Eugene W. Landy: We have been very, very fortunate and maybe we would plan well. Most of our buildings are designed to allow for substantial expansion. So that when FedEx completes a portion of its additional 10 year lease and gets this amazing growth and packages going through the facility and they need additional space, additional parking space, most of our properties are able to accommodate FedEx and build additional space and additional parking areas. And we see that trend continuing again for the next three to five years.
Michael Boulegeris: And finally, lastly to wrap up is that acreage surrounding let's say the core foundational building, is that a similar concept that you used in other -- for non-FedEx warehouses?
Eugene W. Landy: Absolutely, we -- I know we are going to buy one building now with 35 acres…
Michael P. Landy: Yes, the FedEx facilities have ample acreage for growth and yes, Mike we buy land that is contiguous to existing assets when it becomes available just to be able to accommodate future growth. Because the last thing you want is to lose the quality tenant simply for the reason that you can't accommodate their growth. So, we are very conscious about that and we are purchasing small land parcel in Tampa next to one of our buildings as we speak. So, we have done that. FedEx has an expansion going on right now in El Paso and some land we bought years ago. And so we invested $1 million and sat on the land, and now we are building a huge parking lot and it will be income producing towards the end of the year.
Michael Boulegeris: I get it, thoughtful value added proposition. So, congratulations on your -- particularly on your progress on the AFFO, thank you very much.
Michael P. Landy: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Michael Landy for any closing remarks.
Michael P. Landy: Well thank you Laura. I would like to thank the participants on this call for the continued support and interest in our company. As always Kevin, Eugene and I are available for any follow-up questions. And on behalf of Monmouth I would like to take this opportunity to wish everyone a happy, healthy, and prosperous New Year. We look forward to reporting back to you after our first quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. The teleconference replay will be available in approximately one hour. To access this replay please dial U.S. toll free 1-877-344-7529 or international 1-412-317-0088. The conference ID number is 10052024. Thank you and please disconnect your lines.